Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good afternoon, ladies and gentlemen. Welcome to the Zumiez Inc. Third Quarter Fiscal twenty twenty one Earnings Conference Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. 00:17 Before we begin, I'd like to remind everyone of the company's Safe Harbor language. Today's conference call includes comments concerning Zumiez Inc.'s business outlook and contains forward-looking statements. These forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. 00:37 Actual results may differ materially. Additional information concerning a number of factors that could cause additional -- excuse me, actual results to differ materially from the information discussed is available in Zumiez filings with the SEC. 00:51 At this time, I would like to turn the call over to Rick Brooks, Chief Executive Officer. Mr. Brooks, you may begin.
Richard Brooks: 00:56 Thank you and hello, everyone. Thanks for joining us on the call. With me today is Chris Work, our Chief Financial Officer. I'll begin today's call with a few remarks about the third quarter, then I'll share some thoughts on sales for the fourth quarter to date before handing the call over to Chris who will take you through our financial results in more detail. After that, we'll open up the call to your questions. 01:21 As you saw from our earnings release issued earlier today, our third quarter was a historic one. We've adeptly navigated multiple external headwinds over the past eighteen months, starting with the pandemic in early twenty twenty, continued global supply chain disruptions, labor shortages, inflation and in some cases, closures due to COVID. 01:41 Despite these challenges, this quarter, we grew net income five point four percent over Q3 of twenty twenty and a remarkable sixty percent of the third quarter of twenty nineteen pre-pandemic levels. In fact, we've now generated more income in the first nine months of twenty twenty one than in any full-year period in the company's history, and we still have the important holiday season ahead of us. 02:09 Looking at the underlying drivers of the record earnings quarter, net sales were up seven percent and ten percent on a one and two-year basis respectively. The majority of school districts around the country resuming in-person learning this year, back-to-school is highlighted by strong full price selling, reflecting pent-up demand and our ability to serve the customer through our integrated model however they want to interact with us. 02:32 The increase in sales combined with product margin growth offset an uptick in SG&A expenses as we saw an expansion of store hours, an increase in marketing and the completion of our first national store manager in-person event in eighteen months in North America. 02:51 Looking ahead, the fourth quarter has started well despite numerous challenges, underscoring our ability to capitalize on strong consumer demand and expand our market share. Fourth quarter to-date through Tuesday, November thirty, total sales up eleven point five percent year-over-year and up eight point six percent compared to the same period of twenty nineteen. 03:13 Our performance of the Black Friday weekend bodes well for the remainder of this holiday season. While we continue to experience global supply chain challenges, labor shortages, inflation, closures tied to COVID and now risks associated with new Omicron variant, we are confident that our investments in people, sourcing, and fulfillment will allow us to serve our customers with the distinct merchandise offering, great service and seamless shopping experiences that are the pillars of Zumiez's long-term success. 03:43 As we would like to say, periods of significant change create opportunities and companies that have the right people, strategies and resources in place can take advantage of times like this to advance their brand and business. While Zumiez isn't fully resistant to all the challenges that are plaguing the industry, we believe the current environment will accelerate further consolidation globally and that our adaptability and focus on our customer will lead to the further wallet and mindshare gains. 04:11 We believe this is evident domestically and also internationally. We're continuing to win share in Europe and Australia despite being hit with closures in both regions throughout the year and the current closures in Australia during the important lead-up to holiday -- excuse me, in Austria, the lead-up to holiday. 04:31 While we are tactically adaptable, our overarching consumer-centric strategy rooted in strong brand and culture will remain constant. We built a business in which we partner with great brands to bring diversity and uniqueness to our customers that allows them to individuate. We built an infrastructure in which customers can shop with us to get what they want, when they want, how they want and as fast as they want. 04:55 We've morphed our business into a channel less organization with inventory visibility from all touchpoints and back-end capabilities that last to effectively leverage expenses regardless of the channel in which sales originate. Each of these distinct attributes will serve us well in today's hybrid shopping model and logistically challenged environment. Our unique position in the marketplace leaves us well-positioned to capitalize on consumer demand and expand our market share over the near and long term. 05:24 To close, I want to thank the entire Zumiez team for their hard work and dedication to upholding the cultural values that are directly tied to our strong third quarter and positive start to the fourth quarter. Despite the fantastic financial results, these are not easy times to operate in and our teams continue to work relentlessly in service of our customers. 05:45 With that, I'll turn the call over to Chris to discuss the financials.
Christopher Work: 05:47 Thanks, Rick and good afternoon, everyone. Similar to last quarter, I'll provide comparisons to both prior year and the third quarter of fiscal twenty nineteen where appropriate, given the impact of the pandemic on the year-ago period. Following my review of the third-quarter results, I'll provide an update on the fourth quarter to-date sales trends and our current perspective on the full year. 06:08 Third quarter net sales were two hundred and eighty nine point five million dollar, up six point eight percent from two hundred and seventy one million dollars in the third quarter of twenty twenty and up nine point six percent from two hundred and sixty four million dollars in the third quarter of twenty nineteen. 06:21 The year-over-year increase in sales was primarily driven by our ability to capitalize on current trends, the reopening of stores compared to short-term store closures related to COVID-19 pandemic in the prior year and a more normalized back-to-school season in our U.S. business. 06:37 Our stores were open approximately ninety nine percent of the potential operating days during the third quarter of twenty twenty one compared to approximately ninety five percent of the third quarter of twenty twenty and one hundred percent of the third quarter of twenty nineteen. 06:49 From a regional perspective, North America net sales were two hundred and fifty seven point five million dollars, an increase of seven point one percent over twenty twenty and up eight percent compared to the same period in twenty nineteen. Other international net sales, which consists of Europe and Australia were thirty two million dollars, up four point five percent from last year and up twenty five point two percent from two years ago. 07:11 Excluding the impact of foreign currency translation, North America net sales increased six point eight percent and other international net sales increased five percent compared with twenty twenty. We continue to experience temporary COVID-related store closures during the third quarter in Australia, noting they are open for approximately forty two percent of the available operating days. 07:29 During the quarter, the men's category was our largest growth category, followed by footwear and accessories, hardgoods was the largest negative category followed by women's. Third quarter gross profit was one hundred and fourteen point seven million dollars compared to one hundred and five point eight million dollars in the third quarter of last year and ninety four point six million dollars in the third quarter of twenty nineteen. 07:48 Gross margin as a percent of sales was thirty nine point six percent for the quarter compared with thirty nine percent in third quarter of twenty twenty, and thirty five point eight percent in the third quarter of twenty nineteen. The sixty basis point improvement from the third quarter twenty twenty was largely due to sixty basis point decrease in web shipping, a sixty basis point decrease in impairment losses related to operating lease, right of use assets and a fifty basis point increase in product margin. These increases were partially offset by a one hundred ten basis point increase in inventory shrinkage after historically low results in twenty twenty with stores closed. 08:21 Gross margin improved three hundred and eighty basis points from twenty nineteen, driven largely by product margin improvements of two hundred and twenty basis points, occupancy leverage of one hundred twenty basis points and a shrink improvement of forty basis points. 08:34 SG&A expense was seventy four point eight million dollars or twenty five point eight percent of net sales in the third quarter compared to sixty seven point nine million dollars or twenty five percent net sales a year ago and seventy point three million dollars or twenty six point six percent net sales two years ago. 08:50 Compared to twenty twenty, the increase in SG&A expenses as a percent of net sales was primarily driven by eighty basis points of increased store payroll as many stores increased operating hours from the pandemic-related reductions in the prior year, fifty basis points due to corporate costs, consisting primarily of increased travel, training and marketing, and thirty basis points due to the decrease in governmental subsidies. These increases were partially offset by a forty basis point decrease in annual incentive compensation and thirty basis points due to leverage of our non-wage store costs. 09:22 Operating income in the third quarter of twenty twenty one was thirty nine point eight million dollars or thirteen point eight percent of net sales compared with thirty seven point nine million dollars or fourteen percent net sales last year. In the third quarter of twenty nineteen, we had operating profit of twenty four point three million dollars or nine point two percent of net sales. 09:39 Net income for the third quarter was thirty point seven million dollars or one point twenty five dollars per diluted share. This compares with net income of twenty nine point one million dollars or one point sixteen dollars per diluted share for the third quarter of twenty twenty and a net income of nineteen point two million dollars or zero point seventy five dollars per diluted share for the third quarter of twenty nineteen. 09:56 Our effective tax rate for the third quarter of twenty twenty one was twenty five point five percent compared to twenty four point seven percent a year ago period and twenty five percent two years ago. 10:06 Turning to the balance sheet, the business ended the quarter in a very strong financial position. Cash and current marketable securities increased six point nine percent to three hundred and thirty eight point one million dollars, as of October thirty, twenty twenty one compared to three hundred and sixteen point two million dollars, as of October thirty one, twenty twenty. 10:23 The increase in cash and current marketable securities was driven by cash generated through operations partially offset by share repurchases and capital expenditures. The company repurchased two point two million shares during the quarter, an average cost of forty one dollars per share and a total cost of ninety one point six million dollars. 10:40 Fourth quarter to-date through Tuesday, November thirty, the company has repurchased an additional zero point four million shares, an average cost of forty seven point nine one dollars per share and a total cost of seventeen point five million dollars. This brings our total year-to-date stock repurchases to two point eight million shares, an average cost of forty two point sixteen dollars per share, and a total cost of one hundred and twenty million dollars. 11:06 We have sixty eight point eight million dollars remaining on the current share repurchase authorization. As of October thirty, twenty twenty one, we have no debt on the balance sheet and continue to maintain our full unused credit facilities. We ended the quarter with one hundred and seventy five point one million dollars in inventory, up eight point eight percent from Q -- from the third quarter of twenty twenty and down four point five percent compared with the third quarter of twenty nineteen. 11:31 On a constant currency basis, our inventory levels were up eight point four percent from last year. We continue to be happy with our current inventory position in light of the current sales trends and operating environment. As Rick mentioned, we are not immune to the global supply chain challenges facing the industry over the last eighteen months, but continue to work closely with our brands and suppliers to navigate the challenges that are facing all of us. Overall, the inventory on hand is healthy and selling at a favorable margin. 11:58 Now to our fourth quarter to-date results. Fourth quarter to-date sales through Tuesday, November thirty increased eleven point five percent compared to the same period in the prior year ended December one, twenty twenty. Compared to the same period two years ago ended December thirty, twenty nineteen, total net sales increased eight point six percent. 12:16 Our stores were open approximately ninety nine percent of the available days during the period in twenty twenty one compared to approximately ninety seven percent in the same period last year, with our current closures almost exclusively occurring in Europe. We continue to monitor the situation in Europe with closures closely and at this time, we are planning stores to be opened ahead of holiday. 12:35 From a regional perspective, net sales for our North America business for the thirty one day period into November thirty, twenty twenty one increased seven point five percent over the comparable period last year and were up eight point three percent compared to the thirty one day period in December three, twenty nineteen. Meanwhile, our other international business increased thirty nine percent versus last year and increased ten point three percent compared with the same period of twenty nineteen as we continue to see closures in the current year, however, less frequent than in twenty twenty. 13:07 From a category perspective, men's was our most positive category followed by footwear, women's and accessories. Hardgoods was our only negative category. Due to the limited visibility in the business, we will not be providing specific guidance for the fourth quarter of twenty twenty one or fiscal year twenty twenty two, but do want to provide a directional update on our expectations for the year. These updates assumes the current store closures in Austria, which are expected to reopen by mid-December, but does not include any other closures or significant impacts of current or future COVID variants. 13:42 Concerning revenue for the full year fiscal twenty twenty one, we are projecting net sales to grow in the mid-teens from fiscal twenty nineteen. This translates to net sales growth from twenty twenty to just over twenty percent. For the fourth quarter, we anticipate sales growth from the prior year in the high-single digits. 13:59 Moving to gross margin, twenty twenty one gross margin is currently planned to grow substantially year-over-year driven by leverage of occupancy costs on increased sales, a reduction in shipping costs, as web revenue normalizes with stores being open and improved product margins. We do not anticipate gross margin -- we do anticipate gross margin growth in the fourth quarter, but more modest than the year-over-year growth experienced in the third quarter of this year. 14:24 Fiscal twenty twenty one SG&A costs are expected to increase in line with our sales growth from twenty twenty for several reasons discussed on our Q2 twenty twenty one earnings call, many related to pandemic. As a reminder, the drivers of the SG&A increase include store wages and benefits increase with expanded mall hours from reductions in twenty twenty due to the pandemic, government subsidies received in twenty twenty, not anticipated to repeat in fiscal twenty twenty one at the same level. An increase in incentive compensation and other discretionary accruals are related to improved performance, a legal settlement accrued during the second quarter, an increase in costs related to training recognition events that were reduced significantly in twenty twenty due to the pandemic, an increase in marketing events and another related spending that were not possible with the restrictions of twenty twenty, and increase in travel costs in the back half of twenty twenty one with very little travel included in our fiscal twenty twenty results. 15:22 In summary, we expect to see expansion in gross margin while SG&A expenses grow in line with overall sales. On a net basis however, we anticipate operating margins will be up year-over-year in fiscal twenty twenty one reaching low-teens as a percent of sales. We are currently planning our business assuming an annual effective tax rate of approximately twenty five percent in fiscal twenty twenty one compared to twenty five point six percent in twenty twenty. 15:49 We are planning diluted earnings per share to increase meaningfully in fiscal twenty twenty one compared with fiscal twenty twenty, driven primarily by significant increase we achieved in the first quarter and to a lesser extent, our earnings in the back half and the impact of our stock buyback executed during the year. 16:04 For the fourth quarter of twenty twenty one, we anticipate that EPS growth will be in the mid-to high-single digits as a percentage over the prior year, inclusive of the impact of stock repurchase previously discussed. We are planning to open twenty three new stores in fiscal twenty twenty one, including approximately seven stores in North America, twelve stores in Europe and four stores in Australia. We are planning to close approximately five to six stores during the year. 16:30 Capital expenditures are planned to be between nineteen million dollars and twenty one million dollars in fiscal twenty twenty one compared with nine point one million dollars in fiscal twenty twenty. The majority of the capital spending will be dedicated to new store openings and planned remodels. We expect the depreciation and amortization, excluding non-cash lease expense will be approximately twenty two million dollars in fiscal twenty twenty one compared with twenty three point five million dollars in fiscal twenty twenty. 16:54 We are currently projecting our weighted average diluted share count for the full year to be approximately twenty four point eight million shares. Given the repurchases over the past quarter, we expect the weighted average diluted share count for the fourth quarter of twenty twenty one to be approximately twenty three million shares. Any further share repurchases would reduce these amounts. 17:13 With that, operator, we'd like to open the call up for questions.
Operator: 17:17 Thank you. [Operator Instructions] Our first question comes from Sharon Zackfia of William Blair. Your line is open.
Sharon Zackfia: 17:33 Hi. Good afternoon. I apologize, Chris, you talked really fast. So, if you talked about this, I just didn't catch it. I guess, I'm curious, there's been a lot of conversations about consumers shopping earlier this holiday season. And I'm wondering if you think you've seen any evidence of that and how you are handicapping that as you talk about the fourth quarter revenue growth rate, particularly that last week into Christmas? And then any thoughts on what you're thinking about for store openings in twenty twenty two?
Christopher Work: 18:05 Sure. I'll go ahead and take that. I think as it relates to Q4 and sales trends, this is certainly something we've been trying to monitor and understand. I think from our perspective, you can tell that our Q4 growth rate is lower than what we've produced year -- quarter-to-date. And I think that's a factor of considering what you've mentioned here and also a factor of the fact that January last year was extremely strong. And so, if you look at our cadence last year, we got quite a bump in January that really drove the quarter up, and that was primarily related to that period of stimulus. So, we're not expecting that as well. So, I think you can take those two factors as kind of factored into our guidance. This is something we also heard a lot about last year, people waiting until the end and we obviously didn't experience that as much last year. So, we're kind of weighting that with probably a lesser impact than probably what we'll see in January, but definitely factored into our thoughts. As it relates to store count in twenty twenty...
Richard Brooks: 19:14 Twenty twenty two.
Christopher Work: 19:14 Twenty twenty two, thank you. I think as we've always said, we like to be very opportunistic in how we think about this. And if we look back at the last significant downturn and rental rates, which is probably during the last recession, we opened some really good stores in two thousand and eight, two thousand and nine and coming out of that recession. And I think we're looking at this market very similarly to say that there's good opportunities to work with landlords to fill spaces and find markets that we think we can do well over the long term. So, at this point, as we think to twenty twenty two, I think you could expect us to increase the number of store openings in each of the geographies that we operate.
Sharon Zackfia: 20:00 Thank you very much.
Operator: 20:04 Thank you. [Operator Instructions] Our next question comes from Jeff Van Sinderen of B. Riley. Your line is open.
Jeff Van Sinderen: 20:13 Hi. Thank you, guys. Can you please just give a little bit more color on digital versus in-store sales that you saw over Thanksgiving Week? Maybe if you could touch a little bit on Black Friday and Cyber Monday and how that differed versus the same period in twenty twenty and twenty nineteen? Thanks.
Christopher Work: 20:31 Sure. I think what we've seen in digital really throughout the whole year, let me start a little bit higher level before I kind of tackle the holiday, is that we've actually seen -- when we looked at where we were in twenty nineteen compared to twenty twenty, we were about sixteen percent annually penetrated digitally in twenty nineteen that went to twenty six percent in twenty twenty as we were predominantly closed during large portions of the year. And as we were planning this year, we actually sort of anticipated that we would be somewhere in between that, that there'll be some level of digital that would hold, and that -- but we wouldn't be as high as we were in twenty twenty. 21:16 I think we're really happy today to tell you that we're much closer to the twenty nineteen numbers than we are to the twenty twenty numbers, which I think is a really good thing for our brand and our customer. And again, you have to kind of frame this into that twelve to twenty four year old who's trying to self-express and figure out who they are, and they come into our stores, which are pretty energy filled with an awesome sales team that can talk with them, human to human and connect and I think create a really good buying experience. So, we're really quite happy that our digital sales have moved much closer to twenty nineteen. That being said, and as Rick said in his remarks, we're pretty impartial to how they shop. So, we've sort of set up our model to -- you can buy online, you can buy in store, it's kind of their choice. And we're here to serve them, and we've built our cost structure on the back end to really not care which way that they -- would they choose to shop. 22:19 So as it played out over the holiday weekend here, what's really interesting is our results got stronger as we moved through November and the holiday weekend was good. I think we saw a much larger return to stores than we had seen, which was a detriment to the web. But not quite as strong as where we were in twenty nineteen. So probably somewhere in between, kind of like what we had -- what we've seen across the year in digital penetration.
Jeff Van Sinderen: 22:50 Great. Thank you. And then another question from me. So relevant to incoming spring merchandise, what changes are you guys seeing in supply chain and how are you planning inventory for the spring?
Christopher Work: 23:06 Well, I'll take a crack at this, and then I'll let Rick add anything he'd like to add. I mean, I think from a supply chain perspective, it's certainly something that's gotten a lot of publicity. And whether you're talking about spring or whether you're talking about many periods across this year, including holiday, it's been a grind. And I think fortunately or unfortunately, however you want to look at it, it's no different than what we've been experiencing now over the last eighteen plus months. It's been challenging since we came out of the significant closures of twenty twenty. I think our teams have done a phenomenal job working with our brands and our vendors to get product in. We certainly have departments that have been more challenging, some of which have been pretty well-publicized, like footwear has been a challenge with some of the global supply chain headaches. 24:00 And so I think as we move to spring, our thought process is to continue to navigate this with brands. And where we have areas where our brands are going to have a tougher time delivering on what we're hoping to get to, we're looking to other areas of the business that are working and trying to move those sales around. I think this actually gets to one of the strengths of our model is that if you look back at time and you look at our sales and our comparable sales performance over time, what we know about our model is as much as we'd like to have all departments positive at all times, that's not very likely. And what we find is that there's different cycles and departments get really hot for a year or two years, sometimes three or four years. And then we typically see those dollars move to other departments that we operate in. So, I think that's why we're very happy with our positioning. It's really a lifestyle retailer of having the apparel, the accessories, the footwear, the hardgoods. All of those thing’s kind of play against each other and help us navigate periods like this, specifically times like the spring that you've mentioned in your question, where we probably will have some challenges in some departments, and we'll have to try to shift dollars to other places.
Jeff Van Sinderen: 25:22 Awesome. And then just quickly one final question. Can you speak a tiny bit more about what you're seeing in the Europe segment, and any changes to strategy or new initiatives you're working on there?
Christopher Work: 25:34 Sure. Yeah. Let me just kind of cover Europe pretty high level. I mean we're super proud of the Europe team for their twenty twenty one results in light of the challenging backdrop. This is an area where really stores across the region have continued to be challenged with closures. It's not like here domestically, where we've been open pretty much all year. We saw sixty percent of the possible days in Q1, we were open -- or I'm sorry, closed, twelve percent of Q2. And while we were opened all of Q3, we've now been closed eight percent in November with all of our Austrian stores closed until right now, we believe December thirteen. And this is compared to their close twenty five percent of all of twenty twenty. 26:27 So our Austrian stores do represent about twenty five percent of our store base over there. They represent a higher percent of our store sales just because it's our original market. So, some of our strongest stores are in that market. So, we're currently estimating that we'll have an impact on Q4. But what I would say is despite those challenges and closures, we find ourselves in a spot where we're up double-digits in sales to the prior year. We're only down modestly to our budget. We view our customers as extremely loyal. I mean we're seeing very similar trends to when we've had closures here of the moving to digital penetration. 27:08 And overall, we do expect this downturn to help propel us in the months and years ahead. As I think we're creating a very strong loyal base there. And some of our regional players are challenged. I think long-term, as you talk about strategy in your question of how we think about it, I mean, I would just say we continue to believe in the long term for Europe. I think it's a good time to invest in the market, similar to Sharon's question about store growth next year. I think we're seeing some good opportunities on the rent side in Europe. We're opening twelve stores this year, with our first store in Norway. And we plan to increase that next year and continue to open new markets. Our strategy there has been a mix of filling in markets where we have a presence, and then adding stores in markets that are new is kind of a way to both grow markets and also manage the risk of each start class, right, as we kind of grow along. 28:06 So I think this is really aligned with our strategy to continue to grow there. I think we believe the investment we've put in has put us in a place to really capitalize on the marketplace. We've got a really strong team there and have built out a lot of the back office to be able to manage this growth. Now, we believe we're one of the largest lifestyle retailers now in Europe. I think it's a pretty fragmented space and a space that we can really win kind of market-to-market. So -- and then lastly, I'd just say it really ties in with our belief of being a global retailer, right. Our ability to find brands that emerge locally and grow them globally. So that can be brands here that we take to Europe and introduce to that marketplace. It can be brands to start in Europe that we bring back here. And I think it helps us be a better brand partner across the globe and obviously, in working with our brands. 29:00 So I think we're really quite happy despite the challenges, right. And I think with twenty twenty one, we still have some uncertainties with COVID and how that's going to impact the winter, how much travel people can do, what's going to happen from a restriction perspective, while we're able to open our stores in December. There still are some travel restrictions in other areas of the economy, like restaurants and hotels that aren't able to fully open until after the holiday. So, we're obviously monitoring that. And I think our planning that we've laid out today is inclusive of those restrictions, but never quite sure where this is going to go. That being said, I think long term, as we look past twenty twenty one, think into twenty twenty two and getting beyond this -- the virus, I think we feel like we're in a really good spot. I think we believe that the customer returns to kind of normal habits, and we can recapture what we've lost here in some of the closures. I think we're in a really good path to profit and still consider that in that kind of twelve to twenty four month time frame.
Jeff Van Sinderen: 30:04 Great. Thank you so much.
Operator: 30:09 Thank you. Our next question comes from Sharon Zackfia of William Blair. Your line is open.
Sharon Zackfia: 30:16 Hi. Sorry. I had a follow-up question. I was just curious, just given this being such a high season for you. How are you doing on staffing in the stores? And I mean, are you going to bring in seasonal labor? Can you talk about your ability to actually kind of service this holiday season? Thanks.
Richard Brooks: 30:35 Sure, Sharon. Glad to give you some color around that topic. I think we're -- as we said in our comments, we're clearly not immune to the challenges around labor in the marketplace, but I also think we are more adept than many of our competitors have been able to be relative to our labor. And that's fundamentally because we have such a loyal customer base, and we essentially hire our customers. And so, we are hiring seasonal staff through this season and getting hours for them on the floor. And of course, we're also maximizing hours for our existing teams and our top salespeople through the process too. 31:17 But I think, again, the loyalty of our consumer base gives us a great population of young people to hire. So, we're seeing them a lot in our stores, and it gives our managers a chance to basically take a look at who -- which of those loyal customers have the cultural values that we want, that we expect in our employees, bringing them in, getting them to training and then unleashing them on the sales floor. So, we've had some challenges here, but I think we're generally faring better than most people are on this topic.
Sharon Zackfia: 31:50 Thanks. And then one more question for Chris. I guess the lack of giving more color on the fourth quarter, is that primarily due to the uncertainty around Europe at this point? And did you touch on Australia at all? Did I miss that?
Christopher Work: 32:07 No. I think, when we think about the fourth quarter, I think that is probably the biggest hurdle out there, as well as the fact that the January stimulus impact is still something we're continuing to measure. We certainly have our estimates. We've now had a couple of rounds of this and I think have some good planning there. But I think we felt it was best to kind of stay higher level at this point until we have complete certainty around where our stores are going to be. 32:36 And I think the second part of your question on Australia, we are fully open in Australia. I think they've done a really good job. They have had a lot of challenges too. As I mentioned, their Q3, they were still closed the majority of the quarter. So, we're happy to get them back open. I think they're performing at a really good clip. We feel very similarly about Australia that we do in Europe. I think our growth there has been really successful. We've been able to open new stores both in existing and new markets, and they've performed pretty well. So, we feel good about where we're at in that market.
Sharon Zackfia: 33:10 Okay. Great. Thank you.
Operator: 33:14 Thank you. I'm showing no further questions at this time. I'd like to turn the call -- I apologize. [Operator Instructions] I'm showing no further questions at this time. I'd like to turn the call back over to Rick Brooks for any closing remarks.
Richard Brooks: 33:41 All right. Thank you, Valerie. Appreciate that. Again, I just want to thank everyone for obviously your interest in Zumiez and your passion following what we do and wish everyone a great safe holiday season and we look forward to talking to you again in March. Thank you, everybody.
Operator: 33:54 Thank you. Ladies and gentlemen, that concludes today's conference. Thank you all for participating. You may now disconnect. Have a good day.